Operator: Thank you for standing by. This is the conference operator. Welcome to the Origin Materials Fourth Quarter 2021 Earnings Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation there will be an opportunity to ask questions.  I would now like to turn the conference over to Ashish Gupta, Investor Relations. Please go ahead.
Ashish Gupta: Thank you and welcome everyone to Origin Materials fourth quarter 2021 earnings conference call. Joining the call today from Origin Materials are Co-CEO, Rich Riley; Co-CEO and Co-Founder, John Bissell; and CFO, Nate Whaley. Ahead of this call, Origin issued its fourth quarter press release and presentation, which we will refer to today. These can be found on the Investor Relations section of our website at originmaterials.com. Please note on this call, we will be making forward-looking statements based on current expectations and assumptions which are subject to risks and uncertainties. These statements reflect our views as of today, should not be relied upon as representative of our views of any subsequent date. And we undertake no obligation to revise or publicly release the results of any revision to these forward-looking statements in light of new information or future events. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For further discussion of the material risks and other important factors that could affect our financial results, please refer to our filings with the SEC, including our last quarterly report on Form 10-Q filed on November 12, 2021 and our annual report on Form 10-K to be filed next week. In addition, during today's call, we will discuss non-GAAP financial measures, which we believe are useful as supplemental measures of Origin Materials performance. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. You will find additional disclosures regarding the non-GAAP financial measures discussed on today's call in our press release issued this afternoon and our filings with the SEC. Each of which is posted on our website. The webcast of this call will also be available on the Investor Relations section of our company website. With that, I will turn the call over to Rich.
Rich Riley: Thank you, Ashish, and thanks to everyone for joining us today. For today's presentation, we will be referring to the slides were posted to the Investor Relations section of our website earlier this afternoon. I will start by reviewing Q4 highlights, then discuss important industry announcements and provide a commercial update. I will then turn it over to John, who will discuss construction progress on Origin 1 and Origin 2. Nate will wrap up with the financial overview. We will begin on Slide 3. We continue to make steady progress against our strategic initiatives and are maintaining our expectations for the capital budget and production timelines for both Origin 1 and Origin 2. First, we remain well capitalized on budget and on track for completion of Origin 1 by the end of 2022, having achieved several construction milestones during the fourth quarter. Origin 2 remains on track to be operational by mid-2025. We recently announced the selection of Geismar, Louisiana is the site location for Origin 2 subject to the finalization of certain economic incentives. State and local incentives are estimated to be more than $100 million, in addition to a municipal tax exempt bond allocation from the State of Louisiana of $400 million. Today, we are also pleased to announce the selection of Hunt, Guillot & Associates, as our owners engineer for Origin 2. Second, our customer demand has more than quintupled since our announcement to become a public company in February of last year. With uptake in capacity reservations increasing by over $1.4 billion since the third quarter call in November to $5.6 billion as of today. And third, we remain well capitalized with approximately $445 million in cash and cash equivalents on hand. We are maintaining our expectation that the capital projects for Origin 1 and Origin 2 can be fully funded from our existing cash on hand and previously indicated traditional project financing sources. Now, as I did in our last call, I'd like to give a brief overview of the company for those who are new to the story. Origin was founded with a mission to help solve climate change by enabling the worlds transition to sustainable materials. Our patented drop-in, core technology, economics and carbon impacts have gained the support of a growing list of major global brands and investors, including Danone, Nestle Waters, PepsiCo, Ford Motor Company, Mitsubishi Gas Chemical, Kolon Industries, PrimaLoft, Solvay, Mitsui & Co, and Minafin Group. Mitsui & Co and Minafin Group are new additions to our growing list of partnerships, both of which will increase our exposure to a multitude of consumer and industrial end markets, while also expanding our international footprint. Our CPG partners have publicly disclosed their intent to migrate 100% of their current petroleum based PET consumption to decarbonized and recycled materials. After extensively testing our technology, these market leaders have made significant financial contributions to Origin, both as investors and customers, demonstrating their environmental commitment and confidence in our technology. They have signed multi-year off-take contracts worth hundreds of millions of dollars. We continue to see strong favorable tailwinds for our technology and business model. With some of the world's largest public companies committing to zero carbon mandates to help tackle climate change. In Japan, we've been encouraged by a recent pickup in decarbonization activity, building upon the country's commitment to cup 26 to become carbon-neutral by 2050. A recent survey commissioned by NHK Japan or the Japan Broadcasting Corporation, found that the majority of participants from 100 of Japan's largest companies believe achieving carbon neutrality within that timeframe is possible. The decarbonization momentum that we are seeing globally has created significant opportunities for Origin, including our strategic partnerships with Mitsui & Co and the Minafin Group, which we will discuss in more detail shortly. With more than 99% of plastics made from fossil fuels, the world clearly needs to dramatically transform the way it produces and uses plastic as fast as possible. With our first product Origin offers an entirely circular plastic solution, 100% zero carbon recyclable PET, which the worlds plastic recycling infrastructure is already designed to collect, store and reuse, with the critical added benefit of removing CO2 from the atmosphere. Beyond that, despite the progress in the shift to renewable energy generation and electric vehicles, it is clear that reducing emissions from energy use alone is insufficient to achieve the goals and commitments established by companies and governments. Consequently, in the near-term, we believe that these companies will need to integrate decarbonized materials into their supply chains. As such, we expect the strong demand environment to continue and remain well ahead of our projected supplies for the foreseeable future. Turning to Slide 4, we continue to make steady progress commercializing the business and have grown customer demand by more than 1.4 billion since our third quarter earnings call, for a total of $5.6 billion today, made up of offtake agreements and capacity reservations. This has more than quintupled since we announced our intent to go public in February 2021. Moving to Slide 5. In January, we announced a strategic partnership with Mitsui & Co to industrialize advanced carbon negative materials and chemicals for the automotive, chemicals, electronics, packaging, textiles, construction and personal care industries. Mitsui, a global leader in multiple business areas, including chemicals, textiles and many others, also signed a multi-year capacity reservation agreement to purchase sustainable carbon negative materials from Origin. Consistent with our view that climate change is an urgent international priority, we are excited both by the potential to collaborate with Mitsui on the commercialization of new products, and also the opportunity to leverage Mitsui's global supply chain reach to target Japanese and international markets. In February, we announced a strategic partnership with Minafin Group to industrialize high-value specialty chemicals based on our carbon negative materials for applications in the pharmaceutical, agricultural, cosmetics and personal care and automotive industries. The partnership includes multiple collaboration areas, and is an important milestone for bringing cost competitive bio-based products to these end markets. This partnership with Minafin Group continues to demonstrate the versatility in broad range of applications for our carbon negative platform technology. On Slide 4, we are very excited about a new strategic relationship with a major global retail company, which is our first retail partnership. We're thrilled to continue to expand into new parts of our total addressable market and into new end markets. And look forward to saying more about this partnership and others, when appropriate. In addition to these partnership announcements, Origin was recognized in November by Chemical Week for best sustainable product by an emerging company, as part of Chemical Week Sustainability Awards 2021. The award recognizes emerging chemical companies with a product or range of products whose design and innovation survey sustainable or environmental purpose. In January, Origin was recognized by the Business Intelligence Group for the company's leadership and innovation and received the 2022 Big Innovation Award. We received the award for our patented category-leading breakthrough technology, which as most of you know is built around converting low cost sustainable wood residues into decarbonized supply chain ready materials. With that, I'd like to turn it over to John, who will provide an update on Origin 1 and Origin 2.
John Bissell: Thanks, Rich. I'm going to begin on Slide 7 and provide an update on Origin 1 and Origin 2. For Origin 1, our first plant  construction in Sarnia, Ontario. We remain well capitalized and on track for completion by the end of 2022. We continue to execute on our construction timeline, achieving several project milestones ahead of schedule further derisking our overall project schedule. As we disclosed on our third quarter call in October 2021, we completed the installation of key production modules that contain equipment used for the conversion of biomass feedstock into high value chemicals, 6 months ahead of the plan announced in April 2021. The end kind of operator module system was placed and bolted 3 months ahead of schedule in accordance with the accelerated target Origin provided in November 2021. As I mentioned last quarter, the end kind of operator module system is used for recovery and regeneration of the aqueous phase of our process, an important part of how we recycle water in the plant. We've continue to make progress in 2022, installation of structural elements and interconnecting piping the main plant production modules within progress largely completed. The foundational work for the majority of the auxiliary process building contain farms is also complete. Piping fabrication, which began earlier this year is more than 3 months ahead of the plan announced in April and faster than the pulled forward target that we laid out for you on our third quarter earnings call in November, further derisking our schedule. If you refer to Slide 10, you will see a picture of a large delivery of carbon steel pipe and structural steel which we utilize to fabricate pipe modules in shop during the cold winter months. A process that we expect to continue for several months as it will take time to complete the modules, which will be tend to Origin 1 type of installation. We will be finishing the piping modules, sending them to the site and installing them over time. As we've described before, Origin has chosen a modular construction approach whereby our equipment can be fabricated offsite and generally indoors. There are several advantages in this method. For one, modular construction can offer control over environmental conditions and therefore more predictable production, especially when considering very cold winter condition. Additionally, modular construction gives you better control over the quality of the work. Turning to an update on Origin 2, our first world-scale manufacturing facility. The plant remains on track to be mechanically complete and operational in mid-2025. Origin 2 will produce carbon negative materials used to make PET plastic, which is used in packaging, textiles, apparel and other applications and hydrothermal carbon which can be used in fuel pellets as activated carbon and as a replacement for carbon black. Front end design is well underway and Origin expects detailed venture to begin in 2023. We recently announced that we've selected the site for working to in Geismar, Louisiana subject to finalization of economic incentives. We expect 150 acre facility will create an estimated 500 construction jobs, 200 local full-time positions and between 500 and 1,000 indirect local jobs. The plant will convert an estimated 1 million dry metric tons of sustainable wood residues each year into products for a wide range of end markets. We are incredibly excited about the site and went through an extensive process to choose what we believe is ideal location for Origin 2. We started the process looking at over 40 sites. Then we narrowed our list using criteria that we knew would be important to our facility. Things like access to ethylene, waterways, rail access and other factors. We subsequently narrowed upside down to 15, many of which we visited in-person to assess further. And then during our third quarter 2021 earnings call, we described that we have narrowed the list down to only three sites. And now, we are pleased to tell you more about the Geismar, Louisiana location for our first world-scale facility. I'll tell you some of the reasons that we believe that Geismar site is the ideal location for Origin 2. Baton Rouge and New Orleans have extremely skilled labor pools across refining, pulp and paper, forestry and agronomy, feedstock, logistics and chemicals in general. This site will give us access to plentiful sustainable feedstocks for use in production, including residuals are waste wood from local large scale pulp mills and sawmills. In addition, the site has an excellent transportation access, it has great access to rail and also sits along the Mississippi River with easy barge access to the Gulf Coast, which is ideal for the distribution of our intermediates. The site also gives us access to reliable utilities with the local industrial customer offering access to hydrogen pipelines, to ethylene pipeline, stable inorganic species, water and wastewater treatment. The proposed incentive package we're building in the area is also compelling with pending state and local government and it's estimated to be worth more than $100 million. In addition to the Private Activity Bond volume cap allocation of $400 million from the State of Louisiana. We were able to pursue this allocation, because the Origin 2 sustainable feedstock of wood residue pulp as a waste material into the tax code. Origin 2 will in essence be converting waste wood residues into useful carbon negative and recyclable materials. This is a great example of how the circular economy will work in the future. And they will cover the financing in more detail later. Now, when we laid out our initial plans for as a public company, we explain that our strategy may involve colocation with defunct pulp and paper mills. Colocation, we still believe can play a meaningful role in creating efficiencies for one of our future plans. However, for Origin 2, we ultimately decided not to pursue this strategy. The reason is that the Geismar site is in fact much better than the pulp sites we have expected to find. The site sits at a confluence of nearly every utility we need plus all the relevant infrastructure and still have access to sustainable feedstocks. We also expect to integrate substantially with the local community, and this is not just an isolated plant. We see many opportunities to place Origin products in the local industrial ecosystem, and to participate as customer in that ecosystem as well. On balance, we thought that was ultimately of more value than reutilizing the utilities of a pulp mill. And that said, while we ended up not co-locating with the pulp mill for Origin 2, we will continue to explore that strategy for future plans. We're grateful for the partnership of Louisiana economic development, the Baton Rouge area Chamber and Ascension Parish, of course, for the support that they provide us in the site selection process. We look forward to working with all involved into being a part of the community for years to come. And lastly, I want to say that we are very proud of the team for achieving this milestone. It's a big cross-functional undertaking. The team did a great job and the spot we chose is excellent. In addition to our site selection news, we're pleased to announce our selection of Hunt, Guillot & Associates or HGA as owners engineer for Origin 2. The owners engineer is an important role that provides full service engineering to support and augment Origin in all phases of project completely designed to construction. They support everything from logistics, planning, detailed scheduling, cost forecast, progress tracking and reporting, and integrating the different work streams. HGA will serve as an independent advocate for Origin, representing us during design development and construction of facility to ensure that they're working towards the highest standards. One advantage of HGA, in particular is that they're headquartered in Louisiana. They have offices in Houston and in Baton Rouge. So they're close to many Tier 1 engineering companies, to the site in Geismar and to much of the Origin design team. They also have proven experience as an owners engineer in multiple projects worth over $1 billion and have extensive wood handling and pulp product experience, which is an important part of the project. We're thrilled to be partnering with a company this year caliber from this important role. Before I conclude, I'd like to give you some additional detail about what we are working on for Origin 2 right now. Presently, the team is laying out the Origin 2 plot plan based on equipment sizing and starting to build the 3D CAD model. We're working closely with fiber suppliers in Louisiana, Mississippi to develop optimal delivery strategies for rail, truck and barge on the constructability for site access and on right of way contracting for rail, pipeline and roads. To summarize, the team has continued to make significant progress and we continue to expect Origin 1 to be completed by the end of 2022. With Origin 2 on track to be operational by mid-2025. And with that, I will turn it over to Nate to discuss some of the financial details.
Nate Whaley: Thanks, John. I will begin with some commentary on our fourth quarter results, our financing expectations for Origin 1 and Origin 2, and finish with our 2022 Outlook. Speaking to Slide 18, fourth quarter operating expenses were $7.8 million, compared to $5.5 million during the same period in the prior year. Full year operating expenses were $26.9 million. Adjusted EBITDA loss was $6.6 million for the fourth quarter, compared with a loss of $3.8 million in the same period in the prior year. Full year adjusted EBITDA loss was $20 million. And finally, net income was $5.2 million for the fourth quarter, compared to a net loss of $23.5 million in the same period in the prior year. Full year net income was $42.1 million. Turning to our balance sheet. Origin ended the fourth quarter with $444.6 million in cash and cash equivalents and marketable securities. We are pleased to maintain our expectation of fully funding the construction of both plants using our existing balance sheet, cash and cash equivalents of previously indicated traditional financing sources. The financing of Origin 2, the State of Louisiana pending finalization is expected to award Private Activity Bond volume cap allocation to us in the amount of $400 million. Private Activity Bonds are tax exempt bonds authorized by the state and local governments for the financing of qualified projects with private capital. We also expect to receive more than $100 million in pending state and local incentives. We continue to consult with leading financial institutions that specialize in financing capital projects such as Origin 2 and are pleased to reaffirm our financing assumptions for Origin 2 remained reasonable and achievable. The $400 million Private Activity Bond allocation from the State of Louisiana provides a strong foundation for the financing of Origin 2. And in combination with certain 2021 infrastructure Investment and Jobs act provision could enable the debt financing of Origin 2 using entirely tax-exempt bonds. We also continue to work with these institutions on other forms of traditional private financing and federal loan programs, including through the USDA and the Department of Energy. As we mentioned on our Q3 call in November, inflationary pressures remain a focal point. Based on our most recent analysis, we continue to expect construction cost to remain within our overall capital budget. And as discussed previously, we projected approximately $100 million of excess cash beyond the capital budget for Origin 1 and Origin 2, in addition to contingencies already included in our capital project budgets. However, we acknowledged the situation remains fluid, we look to update our cost estimates, such that we can communicate any changes to the market as appropriate, as we continue to make progress towards our targeted 2025 completion date. To wrap up with our initial outlook for the full year 2022, we are providing guidance for capital expenditures of up to $155 million and an adjusted EBITDA loss of up to $36 million. With that, I'll turn it back to Rich for closing remarks.
Rich Riley: Thank you, Nate. To close, I'm incredibly proud of what the Origin team accomplished in 2021 and encouraged by the strong momentum that we continue to see for our industry-leading technology in 2022, as the world moves aggressively to a zero carbon future. I would like to thank all of our customers for their commitments to Origin, our team, and construction and engineering partners for their contribution to our company's success, and our shareholders for their continuous support. And with that, I would like to ask the operator to open the line for questions.
Operator:  The first question is from Steve Byrne from Bank of America. Please go ahead.
Unidentified Analyst: This is  filling in for Steve. Thanks for taking my questions. So the first thing I want to understand a little bit better is, if you can provide more color on what products Mitsui and Minafin would like to - are planning on producing from your CMS, if you have any more details, that you can share.
Rich Riley: Yes. Thanks for the question. We can't disclose more than we've already shared in the slides and in our press release. But we're very excited about our partnership with Minafin. As you may know, they are a significant fine chemicals producer and an example of us partnering with a company that can take our products into even higher value and very specialized applications across a wide range of industries, including pharmaceutical, agricultural, cosmetics and automotive. And so it's a very broad partnership and we're collaborating across multiple products.
Unidentified Analyst: Okay, great. And with respect to the second plant in Geismar, I was wondering the access that you mentioned that you were going to have to pipelines for hydrogen and other inputs. Would you consider and would it allow you, for example, to make to go further down the value chain make other building blocks for PET? Or are you going to produce just CMS and you're going to use that access more to sell to customers nearby?
Rich Riley: Yes. It's a great question. Thanks. Generally speaking, we view the Geismar plant is one that's going to go all the way through to  and so it won't just be producing CMF, it will also be doing the downstream conversion of CMF into the PET related intermediates. And that's as you picked up, that's why access - ready access to those kind of additional reagents is really quite valuable for that plant.
Unidentified Analyst: Great. And just one last one on the $100 million incentives from the state. Are these going to be provide over the life of the project or over the duration of the construction? What is the timeline for these?
Nate Whaley: Yes, no, great question and glad you asked. It's a combination of both. We're looking for, first, I should just reiterate John's comment that we're really appreciative of the State of Louisiana, Baton Rouge area chamber and Ascension Parish for their partnership. But both the projects for the incentives, rather are a combination of both over the lifetime of the plant and during the construction. So we're tremendously excited about that. As well as Rich pointed out earlier, the $400 million of Private Activity Bond allocation, which we think is just a tremendous foundation for the financing.
Operator: The next question is from Frank Mitsch from Fermium Research. Please go ahead.
Frank Mitsch: And I really appreciate the color, especially on the site selection. Because as you mentioned, John, we were kind of thinking that was going to be located in an old pulp and paper mill. But obviously Geismar is a Chemical hotbed. I was struck by the increase in the offtake agreements and capacity reservations up another $1.2 billion. I'm curious as to how you think about the margins, the potential margins of that business. If I think about where the price of oil was even just when we had our conference call, 3 months or so ago, to where it is today, and where it may go. How do we think about the margins on some of this additional new business?
John Bissell: Thanks, Frank. The $1.4 billion is certainly a very strong quarter in terms of adding to our demand. And we continue to see pricing evolve in a favorable direction, as we go through time, and the deals we're doing are meet or exceed the revenue and margin expectations in our financial projections. And so I would say, things continued to develop favorably. And we continue to sign deals across a wide range of geographies and markets this quarter with Minafin we talked about, Mitsui which is a massive player, especially in Japan, but globally. And then also a major retail partner, which represents our first new retail partnership. And so we continue to see strong demand and strong pricing.
Frank Mitsch: Got you. Understood. And speaking of the financial projections that you'd laid out in the past, I noticed that 2022, you anticipated when you rolled out to spend about $126 million of CapEx, you're looking at $135 million. Obviously, '21 came in a little bit lighter, but is there anything else that we should read into the upsizing of your 2022 capital expectations?
Nate Whaley: No, not at all. The upsizing of 2022 really reflects just a deferral of costs that we expected we might incur when we rolled out the original 2021 projections. So this is really just reflective of actual terms we've gotten from our contractors, progress we're making on Origin 2 as we progress through now from site selection, which we've just announced through the FPL design gates. So everything is just is moving along, where we've reaffirmed our overall project budgets. So everything is moving along exactly as we foresaw.
Operator: The next question is from Bob Koort from Goldman Sachs. Please go ahead.
Emily Keck: This is Emily Keck on for Bob. With demand now exceeding $5.6 billion, would you guys be able to provide any color on the breakdown between offtake agreements and capacity reservations? And then how that ratio might have changed since the third quarter?
Rich Riley: Hi, Emily. We are not providing that breakdown. At this time, we continue to believe that our overall number is the most accurate representation of demand. But I will say that we continue to make progress on converting capacity reservations into offtake agreements. And I remain very confident that we will have sufficient offtake agreements in place, and plenty of time for the financing of Origin 2.
Emily Keck: Okay, great. And then one more question. I think that in the slides you guys mentioned, the Origin 2 site in Geismar as being subject to the finalization of economic incentives. Do you know what the timeline looks like, for when we might learn more there?
Rich Riley: Yes. Those are our routine approvals that go through, whether it's the Governor's office or the state and local jurisdictions that will be finalized over the coming months.
Operator:  The next question is from Eric Stine from Craig-Hallum. Please go ahead.
Eric Stine: Thanks for taking the question. So you had a pretty exhaustive search, obviously for the site for Plant 2. Just curious how that may be changes or increases your confidence in terms of looking beyond Plant 2? Because obviously, given the demand you're talking about, it won't be too long before you have to start thinking and you probably already are thinking about Plant 3. And then, just curious, I mean Geismar, obviously pretty generous incentives the municipal bond availability there. Just curious kind of what you found at other locations as you went through the process?
Rich Riley: Yes, Eric. And thanks for the question. So as you surmised having gone through now with a relatively fine tooth comb, a lot of the sites in the areas of interest for us in North America, we saw a lots of sites that were, I would say not just good enough, but really quite nice sites. And for us, fortunately the last quarter or two has been more about which - of the site is absolutely the best site for Origin 2 plant, rather than struggling to try to find an acceptable side. There are lots and lots of really good sites out there. So and even though the site market evolves year-by-year and we're really, really confident that there is going to be plenty of space for us to build a bunch of Origin, threes and fours and fives and sixes. So I think, I really enjoyed that site search. And I'd say, it did increase our confidence in the ready availability of sites that we've set our specs. And yes, so thanks for the question. Appreciate it.
Eric Stine: Yes. And I would assume. I mean, part of that, it's obviously whether it's co-located or just location with all the factors that you're thinking about. But I mean, there would also be incentives, maybe not quite where they are for guys where maybe they are. But I mean, is that a fair assumption as well, I would think.
Rich Riley: All right. Sorry, thanks for asking the second part of your question.
Eric Stine: That's okay. All right.
Rich Riley: Yes. So generally speaking, we did see, I'd say a pretty robust incentives response across you know, there's obviously you don't chase down the incentives for all of the 40 and more sites that we have looked at, right. It's really later in the process that you drive incentives, discussions more so in a more concrete way. So I wouldn't say we got a mapping of literally the incentives for all of those different sites. But I think the sites that we dove down on and we really did see quite a generous incentives, often the packages could look quite different. And so, it wasn't just straight apples to apples comparison across each of these items instead of packages. But there was - there is a lot of desire to have decarbonization projects as part of the various regions. So we often were, I would say, considered a special and quite unique and extraordinarily desirable project for each of the regions in the sites that we were looking at, which I think really, one, makes sense in our macro environment and two, bodes well for future discussions in this topic.
Eric Stine: Yes, absolutely. Okay. Well, maybe last question for me, whenever I - whenever you give that number that grows every quarter in terms of demand. What I keep coming back to is just scarcity value. And just curious how that kind of plays into the customer discussions. And then how that also plays into something that Rich just talked about for a previous question, just moving customers from capacity arrangements to actual offtakes?
Rich Riley: Yes. So we as you can see in the numbers, we continue to see exceptional customer demand and it's grown from a year ago, primarily in the packaging space to now include apparel and automotive and textiles and a wide range of industrial partnerships and new this quarter, major retail partnership. And then it also expands geographically. As we announced major partnerships in Asia and Europe. And so we continue to see strong growth. There is - customers see those numbers too and can see that there is a incredible demand. And I think that does drive some urgency in terms of getting materials. But fundamentally, our customers and potential customers are really trying to hit their net zero and sustainability goals. And many of them find that we are one of the best if not only ways to address this portion of it, which is the emissions footprint that comes from the products they make. And so we just continue to see really strong demand and are excited to keep moving into additional categories, additional products and additional geographies.
Operator: The next question is from Graham Price from Raymond James. Please go ahead.
Graham Price: And thanks for taking my questions. Looking through the slide deck, it looks like the operating metrics for Origin 2 on Slide 20 are unchanged. I was just wondering if there was any upside to those contribution estimates kind of based on, now that you have the Geismar site selected or whether those are fairly agnostic to site selection?
Rich Riley: Yes. Thanks for asking the question. Generally speaking, there will be updates as a result of Geismar specifically. Generally I'd say, they shouldn't be dramatic update in any way, shape or form. Frankly speaking, there is a process when we say we reaffirm something that generally means that we've looked into it a little bit and updated some information. And so at this point, we selected the phased relatively recently and don't feel like we've gone through enough of our process to really fine tune those numbers beyond what we've provided previously. So at this point, I think it's reasonable to think of them is probably similar. We don't expect there to be something dramatically different.
Graham Price: Got it. Understood. And then I guess, quickly for my follow-up. Just as a reminder, once Origin 1 starts up how long is it expected to reach for that to reach full capacity?
Rich Riley: Yes, so rather than thinking about in terms of full capacity, we think about it in terms of meeting our projections we provided, thus far. We have - we think it will meet those projections quite handily. And so we're pretty comfortable there. In general plants like this can take quarter - a couple of quarters to come up to full capacity, but it's on a plant by plant basis. We're comfortable that we're going to meet the projections that we've laid out.
Operator: This concludes the question-and-answer session. I would like to turn the call back over to Rich Riley for any closing remarks.
Rich Riley: Thank you all for joining us today, and we look forward to continuing to update everyone on our progress.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.